Operator: Thank you for standing by and welcome to the Ryman Healthcare Half-Year Results Briefing. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Mr. Richard Umbers, Group CEO. Please go ahead. 
Richard Umbers : Thank you. Good morning, everyone. I'm Richard Umbers. I'm the Group Chief Executive Officer at Ryman Healthcare, and I'm delighted to present our half-year results for the six months to the 30th September 2023. Here with me today, I have Rob Woodgate, our new group CFO, who joined us on the 13th November as well as former group CFO and our new Chief Strategy Officer, Dave Bennett. Given that Rob has only been in the role for a very short period of time, Dave will be presenting the result alongside me today. We will be happy to answer questions at the end of the presentation, and I'm hoping that we'll be able to wrap up within 60 minutes.  Before we get into it, I'd like to hand over briefly to Rob to introduce himself. 
Rob Woodgate : Thanks, Richard, and good morning, everyone. It's great to be on board with the team here at Ryman, although this is only my third week. As many of you know, I've moved from Ford and Hogan, where I was group CFO, leading the finance, treasury, risk, IT, and shared service functions.  I've also held similar positions across Enzek's listed entities, cooperatives, and private companies, including PGE Rights Limited and Silver Fern Farms. In the last few weeks, I've had a chance to meet my team and the executive. Getting out to a couple of villages in Christchurch has given me an early feel for the business. I'm really encouraged by the capability of the teams I've met and the strong sense of purpose throughout the organization. Thank you, and I'll pass you back to Richard. 
Richard Umbers : Thanks, and welcome again, Rob. Ryman is underway in its strategy reset, several key aspects of which will become clear as we walk through the presentation today. We're focused both on improving the performance of our existing villages and on optimizing the commercial outcomes from our development program. As we prioritize capital recycling and near-term cash flow, we have made decisions to sell some existing sites and pause certain developments which are already underway. As you'll see on a number of slides, we've continued to lift disclosure and have introduced additional metrics. Our results for the first half have been delivered during a period of challenging market conditions, including a subdued housing market for the majority of the period. Our reported IFRS profit decreased by 3.8% to $186.7 million due to lower fair value movements, partially offset by a deferred tax credit. Underlying profit of $139.2 million was flat year-on-year with higher operating EBITDA being offset by lower new sales in sites under development. Operating EBITDA, which excludes recognized development earnings was up a solid 7.8%, reflecting improved operating performance in both mature and developing villages. We continue to focus on cash flow and capital management. Free cash flow has improved by $138.5 million to a negative $158.4 million in the first half. The improvement results from an uplift in settlements on the back of strong move in activity during the half. Negative free cash flow reflects the continued investment in future growth, as well as our commitment finish a number of capital-intensive main buildings which were delayed through the COVID period. As we have previously indicated to the market, we're targeting positive free cash flow by FY 2025. Moving on to the strategy. As I mentioned, we remain focused on improving the performance of our existing operation and financial returns from new developments. In terms of our existing operations, this includes driving efficiency, being targeted with our sales and marketing, leveraging our scale, and making process improvements. With respect to our development activity, we continue to reprioritize and review our existing land bank to improve capital recycling and to manage peak debt. This means remixing our land bank with lower-density villages and rightsizing our care offering in future developments. With this in mind, we have provided an alternative breakdown of free cash flow, which breaks out existing operations and the development activity. While underlying profit remains the basis of our FY '24 guidance, this metric has been far too prominent in the company's decision making and this slide demonstrates that we're increasingly focused on metrics which align more closely with cash flow generation. We're reporting a solid result for operating EBITDA of $146.3 million, which is up 7.8% on the first half of last year. This has been driven by improved performance in our village operations, offsetting a decline in grocery sale margins. Aged care occupancy in our mature villages was 96% in the first half, up 2 percentage points and now stabilizing at pre-COVID levels. Revenue per bed has also lifted 12.1%, driven by a combination of funding increases and our premium accommodation charges. Our ability to charge room premiums comes down to the quality of our offering, which as I will show on the following slides, remains industry-leading. Care is as ever at the heart of Ryman's difference and remains central to our success. Of all the large providers in New Zealand, Ryman has the highest number of care centers with four-year Ministry of Health Certification at 85%. We also recently received a three-year certification for all of our care centers audited by the Australian Aged Care Quality and Safety Commission. Sadly, we continue to see a decline in the overall availability of care beds in the broader market because of government funding pressures. We're actively campaigning for a rewrite of the Aged Residential Care or ARC contract in New Zealand and for a co-contribution model in Australia. We're encouraged by aspects of the new coalition agreement that impact the aged care sector and we look forward to working with the government and being part of a new solution.  As a leader in aged care, we also continue to evolve our service models to lift the Ryman resident experience. In Australia, we've seen significant growth across our home care offering with residents receiving funded home care packages, up by 45% in the half. These home care packages provide government-funded services delivered by Ryman into our independent and serviced units, ensuring our residents receive tailored care in a way that meets their individual needs. Perhaps under the new ARC agreement, this model will also be possible in New Zealand.  So now turning to development. Our recognized portfolio of retirement village units and aged care beds increased by 302 in the first half. We continue to provide a breakdown of the movement between units and beds, which are fully complete and by that I mean that a resident could move in immediately and units and beds which are recognized on a near complete basis, which considers a number of factors. A key contributor to the half-year movement was James Wattie, where the main building reached 80% of the projected costs at September, resulting in 62 serviced apartments and 69 beds being recognized in the portfolio movement. This is entirely consistent with the approach detailed at our 2023 full-year result.  Now a key focus for management has been to ensure that our build program is matched to sales activity, and we continue to reprioritize our development program in light of this. As a result, we now expect a portfolio increase of between 650 and 750 units and beds in FY '24. We expect around 40% of this build to come from aged care beds, reflecting the number of main buildings that we have in flight. I will provide an update on the medium-term development pipeline at the full-year result. A significant level of development is underway with 14 sites in the construction phase, including Mulgrave, which recently commenced in Victoria. I'm pleased to announce that we opened three new villages in the first half as well, welcoming our first residents into Northwood in Christchurch, Patrick Hogan in Cambridge, and Bert Newton in Melbourne.  The following 2 slides provide an update on progress across our New Zealand and Australian development pipelines, changes since our last update are shown in orange. As I mentioned, we're continuing to reprioritize our build program as the business goes through our reset phase. As part of this reprioritization, Ringwood East, Takapuna and further stages at Murray Hjalberg have been put on hold. You'll note that these are all capital-intensive sites, that remain important for Ryman in the longer term.  In addition, Kohimarama is now being held for sale as it no longer meets our investment criteria. We will continue to review the land bank in light of predicted market demand and reflecting our focus on capital management.  In Australia, we've recently commenced construction at our Mulgrave site in Melbourne, starting with the townhouse phases. This is an exciting new village in an area of Melbourne that we know well, being not too far from our very accessed for Weary Dunlop and Nellie Melba villages. We've included a number of photos and artist impressions later in the pack, including a link to a village fly through video of Mulgrave. As I just mentioned, Bert Newton officially opened and welcomed its first independent residents, bringing our number of operational villages in Victoria to eight.  Another first-half milestone for the Australian business was opening the Village Centre at Deborah Cheetham, which has brought a whole new vibrancy to this village. During the half, we commenced construction on an extension at Debra Cheetham also, which comprises an additional 64 townhouses. I'm also pleased to announce that John Flynn is now fully complete. Capital recycling. Capital recycling is a metric which represents the net cash position on a development once construction is fully complete and all units and beds have been sold for the first time. The projected capital recycling position on the 14 developments underway is a $430 million shortfall. However, these developments are expected to deliver an incremental cash flow of over $1 billion from September 2023. It's important to recognize that around 85% of this shortfall has come from just five developments which have been impacted by the compounding headwinds of recent years. Each of these five sites started construction between FY '18 and FY '20 in vastly different market conditions. Four of these sites had their main buildings delayed during the COVID period and some were further delayed due to severe weather events earlier in the year. These delays have had a material impact on the total costs and therefore, of course, on capital recycling. Site specific issues have also been factors including construction cost inflation associated with groundworks, materials, and labor supply and the challenges of building high density villages in certain locations. To be clear though, these villages will be fantastic long-term communities in their respective locations and we are committed to completing them. Following our equity raise earlier in the year, capital management of course, remains a key focus. We are pleased to report gearing of 33.6% at September, which is within our medium-term target of 30% to 35%. In addition, the recent banking refinance has added tenure and additional headroom to our debt facilities. In conjunction with the banking refinance, the ICR covenant was amended to provide yet further additional flexibility. As at 30th September, we were compliant with all of our lending covenants. A breakdown of the covenant calculations is shown in the appendices. I'd also like to highlight two disclosures included within the financial statements, which detail one-offs associated with the previously flagged employee share scheme review and the Holidays Act remediation. And with that, I'll pause there and hand over to Dave. Dave, over to you.
David Bennett : Thanks, Richard. Good morning, everyone. Today, I'm going to take you through the key financials and other performance indicators for the first half. As you can see on this slide, clearly it has been a mixed scorecard for the first half. However, I'm encouraged by the gains we're making on the operational side of the business. Operating EBITDA was up a solid 7.8%. Year-on-year revenue growth of 17.8% outpaced growth in operating expenses of 9.7%, reflecting improved performance in both mature and developing villages and cost control and corporate functions. The first half underlying profit of $139.2 million is up 0.3% on last year, which reflects the higher operating EBITDA being offset by lower new sales margins in the half. Australia contributed $12.3 million or 9% of group underlying profit, down on $27.1 million in the first half of '23. The majority of Australia's underlying profit comes from new sales margins, which is more variable period to period. This slide is a snapshot of key sales metrics for booked units, which we will go through in the following slides. Sales on new units are booked when they are both contracted and construction is deemed sufficiently advanced under evaluation criteria.  At the end of the half, only 26 units have been recognized on a near complete basis. For existing units, resales are booked when contracted.  Digging into the sales performance, you can see that the fall in sales volumes was predominantly from new sales, which fell from 216 units last year to 144 units in the first half this year. New sales have been particularly impacted by housing market conditions as typically residents are buying off plans often with longer timeframes to make purchasing decisions. At 30 September, we had 235 new units available for sale. Booked resales of 555 units were consistent with last year. Unsold resale stock of 220 units remains at manageable levels, representing only 2.4% of our unit portfolio.  This next slide is a new slide that we've introduced to provide broader picture of our sales activity. While book sales fell, settled sales of 767 units were 10.2% higher than the first half last year. We've also provided new disclosures on receivables within the appendices. Average pricing across both new sales and resales has increased year-on-year. This is largely the result of mix impacts, particularly for service departments where we're selling more of these in high-value locations of Auckland and Melbourne. Underlying pricing has been flat at a portfolio level. However, we continue to adjust pricing at a regional and village level in light of market conditions. New sale margins on developments were robust at 26.3% underpinned by a strong performance in Australia, which delivered margins of 34.5%. While gross resale margins fell from 32.1% to 28.3% in the first half this year, this remains above the long-run average and demonstrates the pent-up gains in our resale bank coming to fruition.  Our resale bank reflects the gross uplift which would be realized if all units will be sold today at current pricing. At September, this sits at $1.71 billion, which is down on March 2023 due to the realization of resale margin through the first half. Total embedded value, which also includes the accrued management fees and resident loans, was $2.45 billion and $250 million of this, roughly 10% relates to Australian villages representing the maturing of this portfolio. As Richard mentioned earlier, we're providing an additional breakdown of free cash flow into three areas. One, cash flow from existing operations, two, cash flow from developing activity and three, net expensed interest. We will go through these in the following slides.  A key element of our strategy is to improve the operating performance of our existing villages. If we do this well, it creates cash flow which can be reinvested into our development program. Cash flow from existing operations of $49.2 million is a material improvement in the first half last year. This was primarily driven by a lift in net cash resale cash flows.  Cash flow from development represents the total cost of developing villages offset by proceeds from the first sell-down of occupation right agreements in RADs. The negative free cash flow from development activity of $187.7 million in the first half has improved materially from $265.9 million last year. A key driver of this uplift has been the improvement in settlements of new sales, which were $207.5 million in the first half, up 27.5% in the same period last year. Making the distinction between cash flow from existing operations and cash flow from development activity provides a clear framework making decisions and driving performance improvements. We continue to have strong support from our lenders, which was reflected in the successful refinance in September. This provided additional funding capacity and increased the average tenure across all debt facilities from 2.6 to 3.6 years. As Richard mentioned earlier, we're compliant with all covenants at September 2023 and had $533.9 million of funding headroom. We continue to work across our sustainability strategy. Our new science-based targets have been agreed and have now been submitted to the science-based targets initiative for validation. To wrap up from my side, I'm excited to have now transitioned over to the new Chief Strategy Officer, Rob. It's fantastic to have Rob join us and I look forward to working closely with him and Richard as we move forward. And with that, I will now pass back to Richard.
Richard Umbers: Thanks very much, Dave, and looking forward to the outlook. FY '24 underlying profit is expected to be in the range of $300 million to $330 million. This wider range reflects the ongoing levels of market uncertainty and dependency on sales in the New Year. While underlying profit remains the basis of our FY24 guidance, this metric has been too prominent in the company's decision-making, and any guidance beyond FY '24 will not be based on this. Our portfolio of retirement village units and aged care beds is expected to grow between 6.50 and 7.50 in FY '24. And as mentioned earlier, we continue to target free cash flow positive from FY '25. As announced at our Annual Shareholder Meeting in July, the Board led a review of Ryman's dividend policy and committed to providing an update of this half-year result. The outcome of this review is that dividends will remain suspended with a further review of dividend policy expected to be undertaken at FY '26. Any future dividend policy is expected to be based on cash flow. Before I move over to the questions, just a couple of closing remarks from me. I believe that we're making good progress on resetting the business, and I'm optimistic about the future. The strength of the Ryman team gives me every confidence that we're well placed to execute on our plans, and I'd like to take this opportunity to thank all the Ryman team a new strategy for their hard work and their commitment to the task in hand. I'd also like to thank all of our shareholders for your continued support through this journey. And with that, I'll now open to questions. Operator, could we have the first caller?
Operator: [Operator Instructions]. Your first question comes from Bianca Fledderus with UBS. Please go ahead.
Bianca Fledderus: First question from me is on your developments and guidance, so I guess during the equity raise earlier this year, you of course provided the guidance for 750 to 800 deliveries for full year '24, and that has been revised down quite significantly today. So, could you just talk through what has been the main driver of that since it was only sort of eight months ago since you announced that, and already you are not able to achieve that? 
Richard Umbers: Well, the first thing just to mention is that, we've seen a buildup of some of our built stock already as we've been developing. And we're very keen to align the sales in the market and the demand we're seeing with the build rate, what we don't want to do is see a buildup of stock that would tie up capital. So really this is all about responding to the current market conditions and the sales pattern that we're seeing.
David Bennett: There's also, and then capital and larger buildings too, which will be based on timing of the 31 March may not quite be able to be included in the count for this year. So, some of it has to do with the larger aged care buildings too pushing into next year. 
Richard Umbers: Of course, that's a real complexity because quite a large proportion of our build rate is actually delivered through the five B01 buildings, which are currently in flight. And that, of course, is an abnormally large number that we wouldn't have if we weren't dealing with the legacy issues of B01 buildings. 
Bianca Fledderus : Yes. Okay. And so, I guess based on that response, how should we think about your longer-term target’s of 1300 beds and units? I know you mentioned you will give an update on that at the full year result, but would you say that it's still likely you'll achieve that? 
Richard Umbers: Well that's the key message is really that we will update the market at the end of the year. So, it would be premature for me to signal any particular direction in that, only to say that we are very much keen to map the build rate to the demand that we're seeing in the marketplace and quite clearly the economic conditions that we've seen have been sustained and people are now talking about extended periods of higher interest rates and so on which obviously impact the market. So, we're very much monitoring demand, monitoring the economic conditions, bearing in mind we have to predict ahead of the curve because we've got to obviously commence work ahead of the increase in demand, but at the moment, it's not clear to us that we're in a sustained recovery phase of the housing market. 
Bianca Fledderus : And then last question just on the lower new sales volumes. So, one of your peers reports quarterly numbers, and what we saw there was a very weak this quarter followed by quite a strong second quarter? Would you say that's something you saw as well? Or was it [indiscernible] throughout the first half? 
Richard Umbers: I'll hand to Dave in just a second to answer that. But the interesting thing that we're seeing in the market of course is that we're cycling against the against the impact of the interest rate rises that took place sort of round about September or so in the prior year. So typically, the early part of this year is cycling against some very heady numbers at the early part of last year, so we tended to see high numbers there. Obviously, now we're tending to cycle against the lower numbers post the interest rate rises that took place last year. So, to some extent the year-on-year comparisons are distorted and, in some ways, hiding the actual underlying trends.  Dave, do you want to comment further?
Dave Bennett: Yes. And I think your sort of comment Bianca is fair. The first quarter was very challenging conditions and did see volumes lighter than you would normally like. So, the second half was, more promising. So, we're hoping that the market continues to improve. 
Bianca Fledderus: And so, did you sort of see that momentum from the second quarter continue in the first week of trading of the second half?
David Bennett: No, I think that would be pushing it just a little far. A lot of people are making optimistic signals and particularly those connected to the housing industry and so on. The reality is that volumes still remain at decade lows. And not only, would we like to see some recovery in the housing pricing if you like or asset prices, but also to see more velocity flowing through the market before we would be convinced that this was stained trend. We've been adapting our business to the conditions and trying to be as responsive as we possibly can to not be held bent on a building number, but rather be looking after the cash flows of the business and making sure that we're making good prudent decisions based on the commercial reality, not on some number that we put out there many months ago under very different circumstances.
Operator: The next question comes from Arie Dekker with Jardin. Please go ahead.
Arie Dekker: Good morning. Can I start by just applauding you on making a number of really important steps on the disclosure front and on the targets that you're focused on going forward? So, congratulations. First question is just on the free cash flow target for FY '25. Can you just sort of expand on what your numbers are sort of showing in terms of the likely FY '25 delivery that would enable that would it be broadly in line with, so I'm not thinking so much medium-term targets, but would it be broadly in line with delivery this year? And also, were there any additions to the land bank, to replenish that would sit outside of that cash flow target for '25?
Richard Umbers: We haven't qualified it in that way. Directionally, what you can see is the progress that we're making, which is I guess what we're reporting today. And we're still focused on achieving that cash flow positivity in FY 2025. Obviously, it's a number of factors. We've got cash coming in and cash going out. And obviously, we're modulating the build program and we're looking to improve the efficiency and performance of our underlying operations. And I guess it's the management focus to toggle between those and steer a course that leads us to that outcome. That's probably the best way of describing it if I gave you our sentiment to work towards it.
Arie Dekker: Yes. And then, I mean, you are pausing at the moment what we're slowing down on a few things for various factors, including market conditions. But just on land purchases where there hasn't been one for a wee while. Are you out of the market for land at the moment or…
Richard Umbers: I don't think we're ever out of the market. What I would say is we've got quite a large land bank. And certainly, under the current economic conditions, we've got plenty of sites that are NPV positive and we're able to develop them as the market improves and when the time is right. So, I don't think we should be in any rush to add new land to an existing land bank, which is already pretty extensive. And as you've seen, we're reprioritizing and adjusting that, land bank kind of called out [indiscernible] as another site that we would actually be selling in this. So, I think that directionally, we're not, we have enough opportunities in the near term. And particularly with the holding cost of land being relatively high at the moment. I think it would be a poor use of funds to be rushing out buying more land and adding to the portfolio.
Arie Dekker: And just on that, I guess, reprioritization. So, I understand that with regards to sites you haven't started and that just on sites where the village, particularly sites where the villages are open? Has there been any meaningful slowdown on investment in those sites? Or are you taking into consideration the fact that, you need to deliver community facilities within resident expectations and also expectations around them living on a construction site for a prolonged period? 
Richard Umbers: The way we think about a site is that it takes many years to build and we break it down into a whole series of phases and we face a decision point before the commencement of any new phase. And typically, we look at any existing housing stock that we've got from the previous phases because what you don't want to do is be adding to the volume in an area where you haven't sold what hasn't already sold down. So, we modulate, I suppose is the best way, the tempo of development, the cadence of development to try and adjust it to achieve the best market outcomes and have the right volume of stock available to meet what we anticipate the demand is likely to be. So different sites are changing tempo over the course of the construction program. And what you've seen here like with the commencement of Mulgrave, while we might have put on hold one site, say Ringwood East at the same time as that we're getting up and running on Mulgrave. And this is this balance between where should the next dollar be spent in order to get the optimal outcome. That's really how we're thinking about the spend profile. 
Arie Dekker : Okay. So just moving to banking and funding. So, you've recently refinanced that, and you've got some additional heparin and covenant calculation, which was positive. I mean, I guess at the same time, you're sort of signaling the potential for a slowdown on development but for a number of reasons. Can you just sort of give some guidance on what your thinking is, as you over the next six months as you sort of come to a view on what your medium-term outlook is for build program? Can you sort of comment on whether there's any interest in restructuring the banking facilities as part of that, or looking at debt and capital structure more broadly going forward? 
Richard Umbers: I'll probably hand to Dave on that. We obviously enjoy very strong support from the banks and they've been very important to us in recent years. But Dave perhaps you've got a broader view. 
Dave Bennett: Yeah. No, I think you've sort of largely covered it, Richard. The banking facility we have in place is a general facility that gives us a lot of fleets within this. And obviously the banks have shown that support in particular over the last 18 months, but before that as well. So, they understand our growth journey. They understand what we're doing as a business as well. So, I don't see any significant change to the structure of that lending facility. 
Arie Dekker : Okay. And then last question. Richard, I think you made some comments on mapping the build rate to the demand you see in the market, which makes sense. And I can certainly understand that in the context of New Zealand, which is you know, obviously, there's more competition for the sort of product you do, and arguably more mature. But I'm interested in what that might be implying about your appetite in Australia, where we're obviously the market is a lot less penetrated for your sort of product. Is a review of Australia being undertaken ahead of setting your expectations for medium term build rate?
Richard Umbers: I wouldn't say we're reviewing it in a formal sense. As a country what we are doing is looking at where the next dollar should go and seeing it as a desire I guess to have better efficiency out of the capital we're deploying. And Australia for the longer term looks like a very good prospect to us and we're continuing to invest there. At the same time as you've referred to the sites that we've slowed down or paused. At the same time we've also commenced a stage at Debra Cheetham and we've got Mulgrave now underway. All of that is demonstrating I guess our long-term commitment to the Australian marketplace where in the fullness of time we see very good gains. I would add though that the market is complex in Australia at the moment. Interest rates obviously have just gone up again. Victoria has had different housing market trends and patterns from other states in Australia, and we're just again making sure that we see sustained long-term improvement in the market before we sort of go all in with how we would respond to the Australian marketplace, I don't yet see a long-term sustained recovery strongly enough to say that we can rely on it.
Operator: Your next question comes from Aaron Ibbotson with Forsyth Barr. Please go ahead.
Aaron Ibbotson : Just to reiterate what Arie said, commandments on some very relevant and thoughtful disclosure particularly around cash. Just my first question is basically on Slide 11, your capital recycling projection slide, and it's basically just for clarification, so I understand your comment. You said that you expect to deliver incremental cash flow of around $1 billion or over $1 billion it says from [indiscernible]. So just to clarify for my benefit that basically suggests that to me that you've spent around sort of $1.5 billion call it, on these projects, if I add the 14 together already, you've got another something like $3 billion to spend for a $4 billion recovery and that's where you come up with a $1 billion incremental cash, have I understood that roughly correct?
David Bennett: No, please take it offline, but you want to add the 2.5% and the 1.8% as the total spend? So we've got…
Aaron Ibbotson : If I rephrase it then, how much have you spent on this already? $4.3 billion of total spend I get to there, $2.5 billion plus 18. project, that's 4,300,000,000? And then how much have you already spent on these projects? Your investment property work in progress is 900 million you've got 350,000 on HPS assumptions?
David Bennett: We've even disposed, because some of that work in progress has obviously moved the cost into investment property now too. It's out of the work in progress number and it's actually in the completed investment probably and casing just numbers. so I think my best if we work through that one offline.
Aaron Ibbotson : Okay. Can I then invite you to explain what you mean with your last bullet, if it's not as I understand it, ongoing investments in development, it's expect to deliver incremental?
David Bennett: From now, we're going to spend another $1.5 billion then we'd expect to get $2.5 billion back in, so a net cash inflow $1 billion.
Aaron Ibbotson : Perfect.
Richard Umbers: Part of the point here is that under our current investment criteria, we wouldn't be starting these sites if we'd known that the profile of capital recycling would be what we're revealing here to be the situation. But what we're also saying is that given that we've already committed spend up to a certain level and spent so much, the incremental that we've got to spend, it very much justifies that we carry on with the completion of those sites.  And this is essentially the point that the incremental spend and the incremental cash flow that we'll get in from that very much justifies the continued building in these locations even if we're not happy with the overall profile of capital recycling across those sites. And I wanted to really highlight that this is limited to some sites with some common characteristics that frankly we won't be doing that kind of development again. 
Aaron Ibbotson: Richard, it's very clear to me. I understand and it makes total sense. I just wanted to make sure I got it right. Secondly, just on, I think the full year or at your capital increase, you put out the CapEx guidance of $800 million to $1 billion, you haven't reiterated that. Does that mean that you or I haven't seen a reiteration, sorry if I missed it? 
Dave Bennett: Correct. So, we are still working within that range. There was just nothing to update on that. So that is sort of the range that we are looking to be within the $800 million to $1 billion. 
Aaron Ibbotson: Okay. Thank you very much. And David, here's a question for you. We've talked about this over the last three years or four years. How we've had questions around the revenue recognitions where it always seems to be a lot more in the P&L than in the cash flow statement. We've now had two periods in a row, where it's been the other way around, which has coincided with the new management. It's difficult not to assume or suspect in a positive way that you guys have changed your revenue recognition for new sales somehow. But maybe that is just random, how the chips have fallen? Or has there been some sort of soft change of more conservative revenue recognition on the new sales side?
Dave Bennett: Yes, so the approach is still the same as I talked to on the call. And that we are sort of looking for the sales contract in the first instance and then assessing the near complete. However, you'll note in the call we did say there was 26 units that are included in the underlying and the valuation this year on a near complete basis, so that is significantly lower than it has been in the past. 
Aaron Ibbotson: Okay. Final short one for me, just on Care revenues, we've seen a strong delivery across the sector, I guess, this earning season. How should we think about that going into the second half? Your funding, increased funding was for half of the period. So, if you sort of maybe separate between the increased funding and I believe Richard mentioned the increased pack revenues. So, if you'd allocate proportion to those two factors which would be the bigger one, and does that basically mean that we should expect some sort of sequential improvement in the second half? 
Richard Umbers: The additional funding is the most significant component of that. So, the sector got about ten funding increase in July. The other piece, the third piece of that too though is the lift in occupancy. So, you've seen the occupancy has lifted to 96% back to pre-COVID levels. Obviously, that has value very value accretive to us when you get that back and we are still trying to drive that up further. 
Operator: There are no further phone questions at this time, and I'll hand back to today's presenter.
Richard Umbers: Okay. Thank you very much. What I would just ask is whether we've got questions online.
Unidentified Company Representative : So, we've got one question online from Xavier Waterstone [ph]. But some in the sector taking up cash on cash development margins, can you talk about development IRRs in the context of recent trends and outcomes and hurdle rates? 
Unidentified Company Representative: Sure. So, the question has come from Xavier Waterstone. With some in the sector talking up cash on cash development margins. Can you talk to development IRRs in context of recent trends and outcomes and hurdle rates?
Richard Umbers: Yes. So, I think, the key with this is, what we're focusing on from a development point-of-view for us is the cash sort of generating retirement village units, and having a large proportion of those. And we've called out some last sort of few updates a bit of a downsizing of our care offering, as well. The benefits of that is the retirement village units do generate the cash on that first sell down, where the key is typically more of a rental model with room premium and care coming off this. So, the focus for us as a business is to continue to generate positive cash flow and capital recycling developments. And obviously, that will lead to a positive NPV on those developments as well.
David Bennett: And bear in mind there are quite a number of different types of unit that we deliver, and the mix of those units that are being delivered through also has an impact on the average that we report in terms of those margins.
Operator: There are no further questions online.
Richard Umbers: Okay. Well, thank you very much. Thank you for your time and attention today and for your questions. We look forward to staying in touch and keeping you up to date on our progress. Thank you very much.